Operator: Good afternoon. Thank you for standing by. Welcome to Payoneer’s Second Quarter 2022 Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. Following the speaker’s remarks, we will open the lines for your questions. As a reminder, this conference call is being recorded. I would now like to turn the call over to Michelle Wang, Payoneer’s VP of Investor Relations.
Michelle Wang: Thank you, operator. With me on today’s call are Payoneer’s Co-Chief Executive Officer, Scott Galit and John Caplan as well as Michael Levine, Payoneer’s Chief Financial Officer. Before we begin, I’d like to remind you that today’s call may contain forward-looking statements. These forward-looking statements are subject to numerous risks and uncertainties, including those set forth in our filings with the SEC which are available in the Investor Relations section of our website. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today and the company does not assume any obligation or intent to update them, except as required by law. In addition, today’s call may include non-GAAP measures. These measures should be considered as a supplement to and not as a substitute for GAAP financial measures. Reconciliation to the nearest GAAP measure can be found in today’s earnings press release, which is available on the company’s website. With that, I’d like to turn the call over to John to begin.
John Caplan: Good afternoon and thank you all for joining us today to discuss our second quarter 2022 results. As this is my first earnings call since joining Payoneer on May 25, I would like to first thank all of my colleagues for the warm welcome that I have received. I’m impressed with our talented team around the world and with the work Scott, Michael and many others have done to build a global diversified business with a great brand, tremendous assets and loyal customer relationships. Payoneer is well-positioned to be the leading financial operating system and platform for small businesses globally, and I see significant growth opportunities ahead. On the call today, I will begin by discussing our vision for Payoneer, followed by Scott, who will provide more details around our top line growth drivers and the trends we’re seeing across our business; and Michael, who will discuss our financial results and guidance. The World Bank estimates that 90% of businesses are SMBs, and they represent more than 50% of employment worldwide. However, access to financial services is a key constraint to global SMB growth. In emerging markets, doing business across borders is often the only way to meaningfully scale. These businesses, these cross-border businesses are our customers. The Payoneer team believes that brilliance is evenly distributed around the globe, but opportunity is not. At Payoneer, we are not just selling a product to our customers. We are providing them with the tools they need to access global markets and demand, to run and scale their businesses. We make it easier and more efficient for our customers to get paid. We enable them to utilize the money they receive wherever their business needs it to go in the currency that they desire. Our most active customers utilize our full platform to get paid, manage their finances and pay their suppliers, partners and employees. Given our global reach, our scale, our toolset, we are seeing Payoneer’s network effects as customers benefit from being part of our global ecosystem and all of the connected SMBs on our platform. Our customers are in a wide variety of industries. They are exporters selling goods cross-border, freelancers and businesses capitalizing on the digitization of the workplace and remote work, service companies exporting their capability to international clients, vacation rental hosts reopening after the pandemic and digital creators delivering their content to consumers around the world. Our geographic reach extends across more than 190 countries and territories. And with our expertise and our technology infrastructure, we have built a financial network for the future of global trade. We have a deep moat around our business given the operational and regulatory complexities that are required to run a trusted global financial services platform. The diversity of industries and geographies we serve means that our business model is resilient to individual market trends or shifts. The heartbeat of our company is our customers and their engagement with us. We continue to see strong customer growth, both year-over-year and sequentially. Looking ahead, in addition to acquiring more and larger customers, one of our priorities for our next leg of growth is to upsell and cross-sell existing customers more of Payoneer’s capabilities. We will also continue to build internally and buy companies with innovative products that make our customers’ jobs easier from sending and receiving payments to managing their purchases to working capital. Given the growth opportunities we see across our global business, we are continuing to invest in our R&D efforts and our go-to-market capabilities, so we can meet even more of the financial operating needs of our customers. While we continue to invest, we plan to continue to deliver positive adjusted EBITDA going forward. The tailwinds we are seeing from a rising interest rate environment are helping us pull forward our path to sustained profitability. And we remain committed to our long-term target of 20% plus revenue growth and 20% plus adjusted EBITDA margins. Our team is focused. Our customers are global, and our platform is strong. Scott and I each bring our complementary skill sets to partner with the rest of the extraordinary Payoneer team together to serve our global customers. I believe we are just at the beginning of our next leg of growth. With that, I will turn it over to Scott.
Scott Galit: Thank you, John, and thank you to everyone for joining us today. I’m happy to be working alongside John to lead Payoneer into its next chapter of growth. We had another quarter of strong results as we continue to drive strong new customer acquisition and increased adoption of our higher value services. We also benefited from better-than-expected results from Ukraine and rising interest rate tailwinds. Total revenues grew 34% year-over-year and 8% sequentially, and we delivered another quarter of positive adjusted EBITDA of $15 million. Our business has several powerful growth drivers. Our regional diversity and the broad set of industries we serve position us well to navigate the market uncertainties with respect to inflation and the interest rate environment and will enable us to grow in the current macroeconomic landscape. Our positive cash flow generation and ample cash on our balance sheet enable us to continue investing for long-term revenue growth and future profitability. For example, B2B AP/AR continues to be a highlight, growing faster than our overall business and at a higher take rate. B2B AP/AR helps our customers that are trading across borders to invoice, get paid and pay their suppliers across currencies without needing to open bank accounts around the world or to rely on allocated ways to move money such as wires and checks. B2B AP/AR generated year-over-year volume growth of 66%, reaccelerating from the first quarter. B2B AP/AR now represents 12% of our volume, up from 8% a year ago. Our revenue growth is also being driven by regions like Latin America and South Asia, Middle East and North Africa, both of which grew faster than the overall business year-over-year. In addition to the above, revenue growth is being driven by increased usage of our virtual Payoneer Commercial MasterCard and improvement in cross-border travel, though our travel volumes are more tied to travel in Asia and other emerging markets, which are recovering at a slower pace than Europe. We remain optimistic about the long-term trend of digitalization and the growth drivers of the many industries we serve. Our goal is to continue to expand the portfolio of higher-value services we offer to both the SMBs we serve and the global ecosystems they are part of. Our higher value services include B2B AP/AR, our virtual Payoneer Commercial MasterCard, supplier payments and more. These services enable us to serve more customers across a broader range of their needs. For example, a software development company with over 200 programmers in Ukraine recently became a Payoneer customer because we were able to offer them several products that meet their financial operating needs as well as local customer success managers to help them continue their expansion across borders. They already use Payoneer to get paid by their clients using our B2B AP/AR services to pay their programmers in the Payoneer network directly into Payoneer accounts and to pay other suppliers around the world directly into bank accounts. We are excited to support and enable their growth for a long time to come. One of our newest higher-value services is Payoneer Checkout, which marks our entry into the market serving SMBs that sell directly to consumers around the world. While it’s still very early days, we think this is a big long-term growth opportunity. Checkout provides our customers with improved acceptance rates and integration into their Payoneer account. This is an area we’re investing in as we expand the tools we offer to SMBs to get paid and to manage their financial operations. We also continue to focus on nurturing our ecosystem of partners. For example, we have hosted a series of events with Walmart in the UK and India. This collaboration introduces and onboards high-quality Payoneer sellers to Walmart’s online marketplace, where our customers can reach a growing market of more than 120 million U.S. consumers each month. This effort builds on our green channel solution, which helps onboard Payoneer customers to new marketplaces. We launched several new partnerships in the second quarter. A few highlights included PrivatBank, the largest bank in Ukraine, where we are particularly happy that we have had the opportunity to provide more support for Ukrainian businesses. We also launched with Linnworks, an SMB tech platform based in the UK; EC21, a B2B wholesale trade marketplace based in Korea; and Shoplazza, a leading e-commerce platform in Asia that is partnering with us to drive distribution of Payoneer Checkout. And our momentum is continuing since the end of the second quarter. Last week, we announced that Naver Z, one of Asia’s largest technology companies and owner of a global Metaverse platform with over 320 million registered users chose Payoneer to provide payments to their creators worldwide. We have a robust pipeline of partnership opportunities around the world. The dedication of all our employees globally and their successful execution translated into strong results for our second quarter and make us optimistic about our future. I will now hand it over to Michael to discuss financial results and forward guidance in more detail.
Michael Levine: Thank you, Scott and thank you to everyone for joining us. Payoneer delivered another very strong quarter results, once again exceeding our forecast. Q2 revenue increased 34% year-over-year to $148 million, driven by strong customer acquisition, a more favorable mix towards higher take rate areas of our business and better-than-expected results from Ukraine and rising interest rates. Revenue reflects faster growth in regions such as Latin America and South Asia, Middle East and North Africa as well as continued adoption of our higher-value services. Our Q2 customer cohort was larger than the prior year period as customers continue to adopt our tools and services and leverage our partnerships to grow and scale their businesses. We have a global business operating in 190 countries and territories. However, over 85% of our Q2 revenue is U.S. dollar denominated so most of our revenue is not subject to significant foreign currency risk. The Q2 take rate was 101 basis points, up compared to 82 basis points in the second quarter of last year and 94 basis points in Q1, primarily driven by the previously mentioned regional mix and higher value services, along with non-volume-based services and other revenues. Q2 volume increased 8% year-over-year to $14.6 billion. Volume growth benefited from continued strong growth of B2B AP/AR as well as growth in customer acquisition, which was fueled in part by growth in eBay sellers who are now fully onboarded compared to the second quarter of last year when eBay was just being launched. We are also seeing a gradual rebound in travel, as Scott mentioned earlier, and stability in the freelance vertical. These drivers of volume growth are partially offset by a slowdown in certain e-commerce marketplaces, which saw strong growth earlier in the pandemic as demand was pulled forward, so year-over-year comparisons have been more pressured this year. We remain optimistic about e-commerce growth over the long-term. We expect the volume to grow faster towards the back half of the year as we have typically seen fourth quarter seasonality in our business. At the same time, we anticipate that our revenue growth rates will exceed that of our volume growth as we expect to have continued mix shift towards higher take rate regions and products. Q2 transaction costs were $26 million, representing 17.7% of revenue, an improvement from 25.7% in the second quarter of last year and 18.7% in Q1. Bank and processor fees, the largest component of transaction costs increased 11% year-over-year, well below Q2 revenue growth, driving better margins. The year-over-year improvement in transaction costs as a percent of revenue also benefited from lower working capital provisions. Q2 revenue less transaction costs increased 48% year-over-year to $122 million, representing 82.3% of revenue. Total operating expenses, including transaction costs were $150 million, up 16% year-over-year. Excluding transaction costs, operating expenses increased 23% year-over-year. Given our global footprint, approximately 60% of our expenses are paid in non-USD currencies, and we benefited from the strengthening U.S. dollar. The biggest component of operating expenses is our labor cost, which includes both cash and equity compensation and represented approximately 60% of our operating expense less transaction costs in Q2. Our labor expenses increased 28% year-over-year, reflecting headcount growth, primarily in our sales and marketing and R&D teams as well as base salary increases for employees and higher equity compensation. Labor expenses were relatively flat sequentially, although we met our hiring expectations in Q2. Therefore, we will see labor expenses increase in the back half of the year as we recognize the full quarter impact of new hires. We still expect operating expenses to be higher in the second half of the year versus the first half. But given the uncertain global macroeconomic outlook, we are moderating our hiring plans for the remainder of the year relative to our original plans and focusing our talent investments in areas that will deliver the greatest returns. Q2 operating expenses also benefited from timing as certain items such as marketing initiatives were delayed into the back half of the year. Operating expenses also reflected continued investment in our global infrastructure to support onboarding of additional customers, enhancing our regulatory compliance capabilities and expanding our transactional capacity. Other operating expenses are growing at a slower pace than sales and marketing and R&D, which help drive future growth, and we expect that to continue going forward. We will continue to make capital investments in areas with large addressable market potential and positive ROIs. Q2 adjusted EBITDA was $15 million compared to less than $1 million in the second quarter of last year. Q2 net income was $4 million compared to a net loss of $12 million in the second quarter of last year. Net income for Q2 benefited from a $13 million gain from the change in fair value of warrants. Both Q2 basic and diluted earnings per share were $0.01. Our business continues to generate positive cash flow, and we ended the quarter with cash and cash equivalents of $492 million, an increase of $26 million from Q1. Customer funds grew sequentially by over $510 million to $5.1 billion. More than half of the customer funds on the balance sheet are interest earning and bear no cost. Q2 interest income increased by $2.8 million year-over-year to $3.5 million. Turning to our outlook; for full year 2022, we are raising our prior guidance provided in May. This reflects our latest views on the evolving broader macroeconomic and geopolitical environment, the diversity of geographies and industries that we serve and the strength of our operations. It also includes our improving outlook on our business in Ukraine, along with the contribution from interest income in a rising rate environment. We are raising our revenue guidance to be between $580 million to $590 million, reducing transaction costs as a percent of revenue to 19.5% and increasing our adjusted EBITDA guidance to be between $30 million to $35 million. We believe our faster-growing regions and higher value services, along with interest income, will drive revenue growth in the second half of this year. This will be partially offset by softness we expect in e-commerce trends and the lapping of our eBay launch, which started in the middle of the second quarter of last year. Keep in mind the majority of our revenues come from customers that are not e-commerce sellers of goods. Regarding the war in Ukraine, while the situation in the region remains fluid, our Ukrainian customers have been incredibly resilient. Q2 revenues from Ukraine remain relatively stable sequentially. Going forward, we assume 75% of our original pre-invasion revenue forecast to the region for the second half of 2022. This represents $21 million of revenues, which is approximately $7 million higher than our previous guidance. We expect to maintain relatively strong take rate performance in the second half as our fast growing emerging markets and the higher value services increase in mix. We also expect to benefit from increases in interest income. We expect transaction costs over 2022 to be approximately 19.5% of revenues, an improvement from the previous guidance of 21.5%. This full year improvement is driven by lower transaction costs as a percentage of revenues year-to-date as well as reducing chargeback and working capital costs going forward. As customer mix shifts from higher-margin e-commerce to other verticals, however, we expect slightly lower overall margins in the second half. As previously mentioned, we are also revising our 2022 adjusted EBITDA guidance to be between $30 million to $35 million. This improved guidance is due to our strong year-to-date results as well as our confidence in our ability to continue generating positive adjusted EBITDA going forward while investing in our business to drive additional future growth. Based on our latest guidance, 2022 will mark our 11th consecutive year of positive adjusted EBITDA. In conclusion, our Q2 success once again demonstrated our ability to deliver strong financial results. We have built a resilient and profitable business model that benefits from a diverse set of revenue drivers, and we see positive trends for our business going forward. Our ongoing momentum leading into the second half provides us with confidence in our ability to meet our 2022 financial targets while investing to position Payoneer for many years of future profitable growth. On behalf of John, Scott and the rest of the Payoneer management team, we thank you for your continued interest and support. We are now happy to answer any questions you may have. Operator, please open the line.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bob Napoli with William Blair. Bob, your line is now open.
Bob Napoli: Thank you. Good afternoon and great numbers. Congratulations. Nice to see. So just the take rate, you’re welcome. It’s good to talk to you, John, Scott and Mike. The take rate, obviously, 102 basis points, up significantly sequential quarter and year-over-year. I mean, what inning are we in? And I mean you have so much momentum in the growth of that take rate. I mean, where can we go from here? I don’t know – I mean, it’s B2B, obviously, working capital, Commercial Card driving that, and you have a lot of momentum in that business. Should we see several basis points of expansion quarter-to-quarter-to-quarter for foreseeable future?
John Caplan: So Bob, thanks for the question and good to talk to you again. I’ll start and give you just kind of some general themes quickly, and then I’ll ask Michael to talk about the forward guidance and how to think about that. So when it comes to take rate, I would say, something to have in mind that there are two parts of the take rate. So, one is kind of our very intentional and purposeful drive of our higher-value services and treating our customer base with those. And with that, we very much intend to continue to bring higher take rate value propositions to our customers, and it will continue to provide opportunities for us to increase take rate as customers adopt things like the Commercial Card and as you talk about B2B AP/AR. Another part to have in mind is mix. And so, as we talked about kind of the relative weakness of e-commerce and relative strength of some of these faster-growing which also are higher take rate geographies in addition to some of the higher-value services, that mix plays a role as well. So we are very upbeat about how we’re executing on higher-value services, but there are kind of multiple components there. Michael, you want to talk about the forward look on take rates?
Michael Levine: Yes. So generally, we would say that we see it stable from this point in that together there is a mix of factors and all-in-all, we do expect to see volume [indiscernible] growth in the second half, modestly volume growth. But from a take rate standpoint, we expect to see it relatively stable.
Bob Napoli: Okay. Yes, the table seems conservative given the mix items that you talked about going forward. But I just wanted to follow-up on something that you seem excited about. The team seems excited about Payoneer Checkout. And maybe if you could give us a little more color on the strategy on – and how that’s playing out so far.
John Caplan: Yes. So we are excited, and we do think that this is a large opportunity and something that we’re keen to pursue from a long-term perspective. And I think some key indicators to look at, right? We talked about launching in Asia where we see a tremendous amount of excitement, entrepreneurship and eagerness to sell globally. We also announcing our partnership with Shoplazza, again, an indicator of how we see opportunities to collaborate with industry players that are providing services to SMBs, in particular, those focused on global growth and exports. And so we’re still very early days. But this is – again, many of our customers are keen to pursue direct-to-consumer sales opportunities online. And we also see it as a wedge into new types of customers that we’ve never had an opportunity to serve before that we think we’re very well-positioned to serve going forward. So long-term, excited, still very, very early.
Bob Napoli: Great. Thank you.
John Caplan: Thanks, Bob.
Operator: Thank you for your question. Our next question comes from the line of Will Nance with Goldman Sachs. Will, your line is now open.
Will Nance: Hi, good afternoon. Very nice results. I wanted to ask on something you mentioned a handful of times in the prepared remarks around the rising rate environment and what that could mean for your business. I’m wondering if you could kind of quantify what that run rate has been more recently and given the rapid rise in interest rates, what you’re expecting, I guess, one in the back half of the year, but more broadly, I think you said something like over half of the customer funds are in interest-bearing accounts. Is the idea that just for round numbers and a 3% Fed funds environment that should correlate to roughly $150 million of interest income off of the customer funds on an ongoing basis?
Michael Levine: Hey Will, it’s Michael. I can take that one. So as far as the way to think about it, yes, I think it’s easy to model directionally, we said more than half. Keep in mind, though, that we don’t always get the immediate impact when rates – when the Fed raises rates. There is a time lag. Also, when we look at balances, it’s an average balance that can fluctuate throughout the quarter. And that there is also that Feds themselves will get – will take something out of it in terms of where the Fed fund rates. All that together, we would expect that – again, I think the variable is going to be what people do as balances continue to go up. Not all of our balances are in U.S. dollars. So a portion of balances are being used operationally. Others are – the balances are non-USD. So that’s why not all of it is interest earning. We do focus on trying to optimize. We do think that it will be meaningful in the second half and continue to climb with a very strong exit rate. And I think from a – where we think things you do to sort of math on current balances, you’re probably coming out to low to mid-20s in the second half in terms of [indiscernible].
Will Nance: Got it. Okay, very helpful. I’m guessing that was low to mid-20s on millions of revenue, just confirming that. And then I’ll lump in my second question. The guidance for the remainder of the year, it seems a bit conservative given the results to-date implies kind of EBITDA down in the back half, much lower than what you’ve seen in the first half and revenue decelerating. I know we’ve been talking about difficult e-commerce comps for most of the year. I kind of thought we might be getting towards a little bit easier comps in sort of the back half. So just can you talk about the layers of conservatism that you guys are layering in, just given the uncertainty of the environment and particularly around e-commerce and what’s on your mind in terms of room or reasons you might be able to outperform that?
Michael Levine: Yes. So we are being cautious, obviously, because there are a number of uncertainties, and you mentioned that you have inflation, macro issues in terms of economic growth. And where we said we will actually go in terms of rates as a result. So there are a number of different variables. I would say that we did take a cautious view on that. From an EBITDA standpoint, from an overall economic standpoint, you can see that the implied transaction path towards the variable profitability will continue to increase in the second half. And then we will continue to invest so we’re not – not investing, but we’re going to moderate our investment from our original plans given some of the uncertainties in markets.
Will Nance: Got it. That’s super helpful. Appreciate for taking the questions and nice results.
Scott Galit: Thank you, Will.
Operator: Thank you for your question. Our next question comes from the line of Sanjay Sakhrani with KBW. Sanjay, your line is now open.
Sanjay Sakhrani: Thanks. Good morning, and good afternoon. John, you mentioned you want to upsell to existing clients. I’m just curious sort of if we think about what that addressable opportunity is. Can you help us think about what that might be and how quickly you can come through into the numbers? Thanks.
John Caplan: Thanks for the question. I’m in my first couple of months, so I will defer some specifics as we’re putting the plans together. But I’ll share this context. We have an exceptional go-to-market team with relationships with our customers in the emerging markets around the globe where they are. And we have a diverse portfolio of products – and we think we have the opportunity to increasingly introduce those products to our customer sets across the globe. The team is looking at ways to achieve that. And I think in 2023, you’ll see that as a focus of the organization.
Sanjay Sakhrani: Okay, great. And then Michael, can you just help us think about the eBay contribution in the back part of this year? Like what’s incremental and sort of where a run rate going forward?
Michael Levine: Yes. So we haven’t broken out eBay specifically. In general, we don’t break out specific clients of customers. What I can tell you to help give you more color is that we did start the launch a year ago, Q2 of last year. So when you start seeing the lapping really started Q2 over Q2 and starting to increase as we onboarded into the rest of the year. So what you’ll see is that we had a meaningful benefit comparing year-over-year in Q1. Q2 is a little mixed because it was being launched in Q2. And then you start seeing that impact of the lapping in Q3 and Q4, where it’s more like-for-like so less of a benefit in terms of the growth. So when we look at the implied growth in second half from the revenue standpoint, part of the reason why you would see a lower applied growth rate in the second half and the first half due to that is that lapping of eBay?
Sanjay Sakhrani: Okay, that’s very helpful. Thank you very much.
Operator: Thank you for your question. Our next question comes from the line of Josh Siegler with Cantor Fitzgerald. Josh, your line is now open.
Josh Siegler: Yes. Hi, congratulations on the strong results this quarter. I appreciate some additional color on the value-added services portion of the business. Specifically, can you comment on the flywheel effect occurring, especially as you scale this portion of the business?
Scott Galit: Great. So thanks, Josh. It’s Scott. So yes, the exciting part of a number of these higher value services. I’ll start with B2B AP/AR is kind of the network effects that kick in and actually, in some ways, growth begets growth. So we very much see that as our teams are able to actually sell to suppliers around the world, those suppliers then essentially kind of introduce us in some ways to buyers who tend to be in developed markets. We often then see those buyers start to recognize and understand that they can use Payoneer to pay their suppliers, not just the initial one that introduced them to us but others. And so – and the kind of network effects continue to propagate from there. So it’s actually something that’s been consistent across our business, across different vertical market segments, partnerships, things like that. In terms of some of the other higher value services, I think the other one that I think is the most consistent theme for us around the world would be the card. And as we’re starting to kind of introduce that and grow that, again, seeing a lot of excitement. It’s a great win-win-win type of opportunity where we get to essentially lower the cost of our customers for their entire kind of relationship with Payoneer, provide them with additional utility and generate a higher take rate for us overall. So all things considered really, really terrific value proposition, and we’re excited to continue to introduce that. We had good continued performance in the second quarter there. We think there is still a long way to go, but we’re excited about where we are headed.
Josh Siegler: Excellent. Really appreciate the color there. And how are you guys thinking about Payoneer’s positioning, especially as we enter an uncertain macroeconomic landscape? Are your end customers beginning to express any shift in strategy with how they will engage with Payoneer in the near future?
John Caplan: Yes. I think in general, the – what we are seeing at this point from our point of view, the way we are approaching it is we are continuing to engage the market largely as we have, as Michael mentioned. Given the increase in uncertainty, we are moderating the pace of some of the investments that we have been planning just to make sure we don’t accelerate too far, too fast on some things. But overall, the way we engage the market and engage customers, we continue to see lots of demand, lots of excitement around the world to participate in the global digital economy. Again, I think everybody feels some increased uncertainty. So, they are factoring that in. But so far, it’s not changing the way they want to actually engage. In some cases, it’s increasing the pace of their efforts to diversify and explore other opportunities themselves. So, we think we are well-positioned with a diversified set of products, geographies, vertical markets that we serve to help customers around the world navigate this uncertain environment. And so that’s how we are approaching it.
Josh Siegler: Great. Thank you very much and congratulations again.
John Caplan: Thanks Josh.
Operator: Thank you for your question. Our next question comes from the line of Ashwin Shirvaikar with Citi. Ashwin, your line is now open.
Ashwin Shirvaikar: Thank you. Great quarter, guys. Congratulations. I guess was – okay, I guess I was hoping to get any sort of disaggregation, if you will, between the factors that sort of have been driving revenue growth as we think of growth in number of customers, growth in a number of markets, rate environment, sort of the fee-based non-volume kind of services? Any help in terms of disaggregating what’s more or less important to growth as we look at the next 6 months to 12 months?
Scott Galit: So, Ashwin, this is Scott. I will start, and if Michael have some specific numbers to share, I will ask him to chime in at the end. So, the – I would say a few things. One, I mean we have consistently been looking to highlight B2B AP/AR, which this quarter reaccelerated from the first quarter and delivered 66% volume growth year-over-year. We do expect that to continue to grow at a faster pace than the business overall. As I was just touching on a minute ago, when we kind of the most consistent themes that we are hearing from our teams around the world right now is the excitement around B2B AP/AR and the excitement around card. And so those are both in a position where they are contributing positively the B2B AP/AR to bringing in additional customers and additional volume and the card is essentially enabling our customers to do more and also us to generate a higher take rate from the existing flows that we have. We are seeing faster growth in certain geographies. And so, we are excited to highlight areas like Latin America and South Asia, Middle East and North Africa, both of which are also growing quite a bit faster than the rest of the world overall. And we have been making investments. We hired a new regional lead in the Middle East and North Africa. And our teams there, again, it’s really big geographies in terms of the population, in terms of the digital adoption, and we are still pretty early days there and so a lot of room to continue to grow. So, when we look forward, I think the growth of the higher growth markets, the growth of the higher-value services, in particular, B2B AP/AR and card will continue to be the drivers in the next 12 months.
Ashwin Shirvaikar: Got it. And then just based on what you said, if I said that your payback period should continue to shrink, would you agree with that? Would that – I mean is it possible to kind of say, is it heading down into the couple of quarters, time zone as opposed to roughly a year that it used to because you now have a fuller range of products and faster adoption and so on?
Scott Galit: Yes. What I would say is we continue to feel good about our, in general, low customer acquisition costs based on the strength of our brand and that we have healthy return on the investments that we make to drive additional customer acquisition. We are not modeling in anything specific as it relates to payback period.
Ashwin Shirvaikar: Okay. Got it. Thank you.
Operator: Thank you for your question. Our next question comes from the line of Mayank Tandon with Needham & Co. Mayank, your line is now open.
Sam Salvas: Hey guys. This is actually Sam Salvas on for Mayank today. Thanks for taking the questions and congrats on another really strong quarter here. Really nice growth in the Emerging Markets segment. I was wondering if you guys could unpack some of the drivers behind the strength there in Latin America, Middle East, North Africa, etcetera? And then maybe also how you guys are thinking about growth in these markets through the remainder of 2022, given the tough macro environment today?
John Caplan: Yes. So, just I will briefly give you kind of the playbook. I mean these are regions that are large. They are actually more recent for us in terms of actually putting regional managers on the ground in those areas and starting to build out local teams on the ground. And so we think we still have a lot of room to go here. The most consistent themes that we are getting from those regions are the real excitement of our customers using our B2B AP/AR services and the opportunity to capitalize on our ability to help them really grow and accelerate their business globally. So, we would expect that these regions are still in the relatively early stages of growth, lots of room to run. They will continue to grow at a premium to the business overall. And when we see things like the continued growth of things like remote work, when you see actually, there are some interesting trends as companies in Asia are looking to diversify and broaden the geographies that they are selling into regions like Latin America are really high on their list, actually in the Middle East as well. Again, big populations, rapid acceleration of digital adoption, and so we really think there is a lot of exciting opportunities there.
Sam Salvas: Got it. That’s super helpful. Thank you for that. And then just a quick follow-up for me. Most of my questions have been answered. But given the more challenging macro backdrop today, are you guys seeing any changes in the pace of adoption, specifically within those higher take rate products?
John Caplan: No. We – in general, we see healthy customer acquisition trends. We see healthy adoption of these higher-value services. So, overall, we are continuing to see positive customer demand for growing global businesses and for working with Payoneer to do it.
Sam Salvas: Great. Thanks guys. Congrats again.
John Caplan: Thank you, Sam.
Operator: Thank you for your question. Our next question comes from the line of Mike Grondahl with Northland Securities. Mike, your line is now open.
Mike Grondahl: Hey, thanks guys. I will pass on congratulations, too. Two maybe quick questions. One, in your B2B AP/AR offering, roughly how penetrated that – is that across your customers? And maybe secondly, it sounds like travel came back some, but we know Asia and the emerging markets are a little slow. How is travel-related revenue maybe compared to pre-pandemic levels overall?
John Caplan: Yes. So first, Mike thanks and good to talk again. So, B2B AP/AR, we are, as we touched on, 12% now of the volume of the business overall. And directionally, about a third of that is with customers that are using us for B2B AP/AR and something else, meaning they are selling through some other channel and using Payoneer and two-thirds are using us really almost exclusively just for the B2B AP/AR. So, it is something that we do have a number of customers that are using it. We believe there are many more opportunities for us with existing customers. But actually, I would say the bigger opportunity there, overall, is expanding the universe of potential customers for us, and we are seeing more and bigger opportunities around the world for B2B AP/AR with larger customers. On travel, overall, the – I will start with the kind of general themes and then Michael can size it. But travel, it is still down from where we were pre-pandemic. The routes that we support in at scale tend to be reps that are kind of more, again, emerging markets or markets that are a little further afield and those have been recovering more slowly. And so we are not back to parity versus pre-pandemic. Mike, do you wanted to talk briefly about the sizing?
Michael Levine: Yes. I would say that it’s really more the mix, Mike. So really, it’s the – what we saw from the pandemic is that the mix of countries changed. And as a result, volumes started to increase. We didn’t see the same revenue benefit, and we had a lower take rate. That’s a great – it started to come back, but it’s lower than the overall take rate, so.
Mike Grondahl: Got it. Okay. Thank you.
Operator: Thank you for your question. Our next question is a follow-up question from Bob Napoli with William Blair. Bob, your line is now open.
Bob Napoli: Thank you. Just the – I think you serve over 5 million SMBs. And you talked about, I think, Scott, last quarter or Michael, 200,000 apps per month. Can you give an update on the growth of the SMBs that you are serving? And are you still seeing what type of demand as far as apps per month or engagement are you seeing? And I guess, and related to that, I guess what percentage of your customers that you bring on are self onboarded?
Scott Galit: Alright. So, I will go through a couple of points. One, we continue to see very healthy application volume and so it continues to exceed the 300,000 a month. We acquired more customers in Q2 than we did in Q1. And so we continue to have positive customer acquisition trends overall. In terms of how they kind of onboard the vast majority of those are customers that sign up themselves directly at payoneer.com. And so on average, those customers are smaller customers than the average customer of Payoneer. When our sales teams around the world go engage with prospects on average, those are customers that are quite a bit larger. So, the way to think about it is kind of the super majority of the applications are smaller customers that are self-serving and signing up on Payoneer platform, and the majority of the customers that our sales teams are acquiring, which is a smaller percentage overall, although growing in its importance in our business overall on average are quite a bit large.
Bob Napoli: Thank you. And just on the merchant services business, can you give any update on the growth of that business?
Scott Galit: Yes. It’s still very small and early days. So, again, we are still earlier on and excited, but a long way to go.
Bob Napoli: Thank you. Appreciate it.
Scott Galit: Thanks Bob.
Operator: Our next question is a follow-up question from Ashwin Shirvaikar with Citi. Ashwin, your line is now open.
Ashwin Shirvaikar: Thank you. Question is on transaction costs. So, as I kind of – if you don’t mind going through the dynamic there with regards to what happened in the quarter with capital advance and collections? I didn’t quite follow that part of it.
Michael Levine: Sure. So, a year ago in Q2, we had higher amounts of write-offs. And so really, there are two things when you look into the components of transaction costs. Ashwin, as you identified the biggest delta was really looking at the change for our capital advance costs, which came down roughly by about $5 million. That’s because we had higher write-offs last year. And the market has improved or our credit concerns have improved. The second thing I want to highlight is just that the biggest component of transaction costs, which are bank and processor fees continue to grow at a significantly lower rate than our revenues. And this is really reflective of the fact that we continue to get benefit from our scale. We continue to negotiate low rates, and this has been one of the big drivers that’s really helped us continue to improve over time and team to help us manage the ability to leverage our scale.
Ashwin Shirvaikar: Understood. On that note, I guess the second point you were talking about payment network incentives and stuff like that. Do you also benefit from when networks sort of increased pricing?
Michael Levine: So, you are talking about – in terms of MasterCard is that when you say networks?
Ashwin Shirvaikar: Yes. Exactly.
Michael Levine: The incentives are part of a relationship related to the MasterCard commercial cards that we offer. And so that is actually something that’s just a consistent part of the way we are managing the P&L. Nothing of any great news there.
Ashwin Shirvaikar: Understood. Got it. Alright. Thank you for the clarifications. Appreciate it.
Operator: Thank you for your question. That concludes today’s Q&A session. I would like to turn the conference back over to John Caplan to conclude the call.
John Caplan: Thank you everybody for joining us today and for the great questions. I am excited about the sizable growth we have in front of us. We have a diversified cross-border business that will continue to benefit from the secular shift towards digitalization and globalization. Our brand is strong. We are increasingly seeing momentum in our business, and we are focused on executing, so we can continue delivering revenue growth and future profitability. I want to thank all of our incredible employees for their dedication and passion every day and their focus on our customers. And thank you to all of our shareholders for their support. We are looking forward to talking with you again soon.
Operator: This concludes today’s Payoneer Q2 2022 earnings conference call. Thank you for your participation. You may now disconnect your lines.